Giorgio Iannella : Good afternoon everybody. This is Giorgio Iannella from the IR team. Thank you for joining EssilorLuxottica Full Year 2023 Results Management Call. The Group's Chairman and CEO, Francesco Milleri; the Deputy CEO, Paul du Saillant; and the CFO, Stefano Grassi will walk you through the business and financial highlights of last year. After their presentations, there will be a 30-minute Q&A session. [Operator Instructions] We kindly ask you to limit your questions to a maximum of two. With that, I hand over to Francesco.
Francesco Milleri: Good morning, and good afternoon to everybody. Thanks for joining us. Today, I am glad to present EssilorLuxottica sound financial result of 2023, and give an update on our key strategic initiatives and vision. 2023 has been another record year for the group in terms of its financial performance, which make us particularly proud in the context of more challenging macroeconomic and geopolitical environment throughout the entire year. We advanced it fast on our integration journey, while delivering the richest pipeline of innovation ever. At the same time, increasing our earnings and cash flows. This gave us the confidence to propose a dividend 22% higher than the previous year. Group's total revenue reached €25.4 billion growing at the sound pace of 7.1% at constant exchange rate, third consecutive year above 7%. This reflects the deep diversification of our revenue mix, while balanced across geographies, trade channels, product categories, and price segments. Innovation played a key role across all the activities, including lenses, luxury brands and wearables. The successful integration of GrandVision drove the comp sales growth at 9% laying the groundwork for the future expansion of the businesses. The group's adjusted operating profit near €4.2 billion, reaching 16.9% margin at constant exchange rates, 10 basis points higher than 2022, despite the substantial impact of the cost inflation and the investment for the future. All of that was more than offset by the business growth, diversification, and the operating synergies and efficiencies. Investments were related to a number of new projects, including sales force expansion, store remodeling, innovative lenses, such as Stellest and Varilux XR. New licensed brands Ray-Ban Meta launch as the most advanced solution is smart glasses and the pre-launch campaign of Nuance Audio, our disruptive proposition in the hearing age space. Our vision is essentially centered around the idea that eyeglasses will be more and more equipped and empowered by technology as a new platform that can offer a wider range of digital function from good vision and good hearing to online connectivity. At the same time, our business model is evolving towards digitalization across all the segments of the value chain to the benefit of the whole industry. We have developed a number of digital tools to empower our sales force, wholesale partners, retail stores and online platforms. We have extended depiction of analytics, big data and artificial intelligence to reshape the future of the entire industry. Three initiatives stand out as a part of our innovation journey, VisionX, Ray-Ban Meta and Nuance. Managed by the new group division HELIX, VisionX is an integrated data-driven ecosystem for eye care practitioners, a digital suite offering all the service related to the practice activities from ordering and booking to tele-optometry and managed vision care aim at changing the entire optical store experience. Second generation of our wearables, Ray-Ban Meta has been a great success since its launch, leveraging its new and improved functionalities, the new product offer for the first time ever live streaming, and Meta Artificial Intelligent built-in on top of higher-quality camera and better audio systems. It represents a simple access to fully leverage Meta AI capabilities a gateway to the future. Talking about the Nuance Audio. I'm pleased to say that the product was presented at CES in Las Vegas at the beginning of January, receiving a huge deal of attention from the audience on site and online. Feedbacks were overall extremely positive, from both hearing aid experts as well as people affected by target hearing loss. Investors and analysts are testing the product in trade fairs and at our Tortona Experience Center in Milan, giving us the same positive comments. You are all invited to test it. Nuance Audio is up for launch in the US OTC market in the second half of this year. To make the most of it, we are partnering with all the relevant players including audiologists, optician, traditional hearing aid operators, with the aim of merging the two industry of optical and hearing, serving both the wholesale and retail channels since the beginning. In conclusion, few words on our sustainability program, in particular on carbon roadmap. EssilorLuxottica fully achieved the carbon neutrality target for its Scope 1 and 2 emissions in Europe, already met in Italy and France. The group is now setting the stage to become carbon-neutral globally by 2025, as it continues to improve energy efficiency across facilities and increase the use of renewable energy. Furthermore, the group committed to setting near-term emission reduction targets, according to the science-based target initiatives, reinforcing its effort of addressing climate change. That's what the Board, I'm honored to Chair, achieve it, delivering excellent results over its entire three-year mandate in terms of new group integration, business model evolution and quality of its financial results, with adjusted earnings increased by around 50% in the period. M&A activity remain constantly active and well focused, and it will accelerate in the next years. The new Board will be appointed during the next AGM at the end of April and the Nomination and Compensation Committee has proposed to confirm all the current Board members. With that, I hand over to Paul, who will drive you through some operational highlights. Thank you.
Paul du Saillant: Thank you, Francesco. I'm delighted to be with you today for our full year 2023 results. Before we dive into our operational highlights, I would like to highlight the progress made together with the OneSight EssilorLuxottica Foundation on our journey to address uncorrected poor vision and bring better sight to everyone everywhere. Over the last 10 years, we have provided permanent access to vision care to over 700 million people by training local entrepreneurs to perform eye exam and dispense eyeglasses in underserved communities. Through these actions, around 72 million people are wearing eyeglasses provided by EssilorLuxottica. What an important step forward in the pursuit of our mission. Let's now look at what we have achieved at the heart of our business and more specifically on our product, brands, supply chain, and our colleagues to complement what you heard from Francesco. In 2023, we continue to deploy a large innovation pipeline from the one-of-a-kind next-generation Ray-Ban Meta smart glasses to the new Varilux XR personalized progressive lens powered by artificial intelligence. The disruptive design of Ray-Ban Reverse, the debut of the brilliant Vaske collection, the signing of the Moncler license agreement, and a very rich delivery throughout the year of novelties in our house and licensed brands. So, much has been accomplished. 2024 will also be rich in products and brand activities. Two days ago, the Transition Academy took place in Florida gathering 1,300 attendees for the unveiling of the latest transition lens generation, transition Gen S. This product will feature a new exciting color palette. It will switch from clear to dark in only seconds and offer an astonishing speed of feedback. Transition Gen S will be launched from April in the US and key countries in Europe and soon after in the rest of the world. Since November, we have introduced at the EssilorLuxottica Day and in our showrooms around the world the first-ever collection for our new licenses and collaborations. Just think about it Brunello Cucinelli, Ferrari, Jimmy Choo, and Roger Federer collaboration with Oliver Peoples. Stunning new styles that will be out in the spring. In addition the Paris Olympic Games are coming this summer and we are launching new dedicated collection for our team Oakley Athletes who are in the starting blocks. We will host them at the Oakley [indiscernible]. We are also advancing effectively in our fight against myopia in children, building a comprehensive ecosystem leveraging data, science, lenses, contact lenses, frames, and instruments. Our revolutionary status lens is now available in 35 countries across Asia, Europe, and Latin America. As you will remember, it has been granted breakthrough device designation by the US FDA. And we have just been granted the Status also for diffusion optic technology spectacle, lenses of SightGlass Vision. On the supply chain side, as part of our strategy, we continue to develop capacity and flexibility worldwide. In 2023, we opened new state-of-the-art manufacturing sites in Thailand and Mexico. The facility of Rayong, Thailand is one of the largest of the group. It is a fully integrated campus with frame and lens production, lab service, and distribution center under one roof. It will support the growth of Europe and the further expansion of the Asian markets. On top of this, we have built two new locations in Mexico, an integrated site in Tijuana and the lens mass production facility in Chihuahua. Both are key in guaranteeing additional capacity and state-of-the-art service for the US and Mexico. The Laboratory of Excellence situated south of Paris will be our flagship lens laboratory. It is starting operation as we speak and will ramp up throughout the year. It represents a cornerstone in our strategy to provide local proximity at the heart of each country to deliver high level of service and implement the complete pair models. In line with our sustainability road map, these new facilities are designed to obtain the lead gold certification. Our fully integrated supply chain as we have shared often with you, is more and more bringing together lens, frame and labs under one roof to further expand our complete pair capabilities, provide capacity and efficiencies for the growth and diversifying our footprint in close connection with our key markets. Looking at our go-to-market organization. Stefano will shortly take you through the performance of our business and you will see the solid results that our focused teams in Professional Solutions and direct-to-consumer have achieved at the heart of each market. And this brings me to our colleagues. We are so grateful to all our teams working so hard to make our company better every day. Their talent and passion are allowing us to consistently execute our strategy in each domain. A sign of their engagement is the success of our employee shareholding plans with now 77,000 colleagues across 86 countries having a financial stake in the company. What a sign of alignment. In 2023, we also further strengthened our one company culture, designing our new core values with the input of more than 100,000 colleagues worldwide. In 2024 and beyond, we will continue our exciting and dynamic journey together with all our stakeholders. The operational initiatives we are deploying will keep fueling quality growth and continuously strengthen the company. With this I hand over to Stefano.
Stefano Grassi: Good morning, and good afternoon to everyone, and welcome to our full year 2023 earnings release. As you have seen in 2023, EssilorLuxottica posted another year of remarkable sales performance, where all the regions and all the segments delivered sales growth at both constant and currency exchange. Now, if we look a bit closer our fourth quarter, you might have noticed that our topline grew 7.1% at constant currency. While when we look at our results, our currency exchange rate, you're looking at revenue up 2.4%. Clearly, the headwinds that we experienced in Q4 were driven by the US dollar, as the main currency. We experienced in the US dollar a 5% devaluation against euro, but also the Turkish lira to a smaller extent despite the low materiality on the revenue side played a role in our Q4 currency headwinds with a 38% devaluation against euro during the course of the quarter. Now let's move through the different regions. And as usual, let's begin with the biggest one North America. In North America, our topline was up 5.9% at constant currency. I remind you that our third quarter revenue in North America were up 2.1%. So we are here experiencing a material acceleration in the performance that we had in North America. Our B2B division Professional Solutions delivered the second strongest quarter in 2023 with a topline in the high single-digit territory. When we look at our fourth quarter a bit closer, on the B2B side, frames posted high single-digit growth, while the lenses landed in a mid single-digit territory. The price mix, while the price mix continue to be strong, thanks to a strong and successful launch of Varilux XR, while on the frames side, Ray-Ban Meta had a very promising ramp-up. And on the other side that's not a news, our luxury portfolio continues to be strong with Dolce & Gabbana, with Prada, with Versace and Ralph Lauren very much driving the growth in this part of our portfolio. A last touch of our Professional Solution is on the channel mix. When we look at our channel mix, we've seen a very good performance on our key accounts and our independent in particular in Vision Source that grew double-digits during the course of the fourth quarter and also our e-commerce partner. While on the software side, we experienced a deceleration in our department stores as well as in our sport channel. Now let's move to the other division the other segment of North America that is the direct-to-consumer. We have a picture here that is very much polarized. On one side, we have our optical retail banner their delivery comes close to mid-single-digit territory and sequential improvement throughout the quarter in October, in November, and in December. And all our three optical retail partner, LensCrafters, Target Optical and Pearle Vision, they all deliver solid comp sales during Q4. Now, if we look at the other side of our company, direct-to-consumer in North America, Sunglass Hut, with quarter-on-quarter on negative comps, although they were better than what we experienced in Q2 and Q3 of 2023. And if I look at my glass half-full here, I would say, the Sunglass Hut locations that were located in international areas like L.A., Miami, New York, overall postal comp sales on a flattish territory, while the rest of the network was in a negative territory for Q4. But now let's switch gear, and let's touch Europe. Europe delivered 6.4% growth on a constant exchange rate during the course of the fourth quarter. This is an outstanding result and just for the statistics, this is the 11th consecutive quarter of sales growth in the region EMEA. We had a very balanced growth between Professional Solution and direct-to-consumer and this to me prove two things. On one side, the work that we're doing to engage our ECP across the region in EMEA, it's paying back. And on the other side, the elevation of the optical retail experience, and we talked about it many times, even during our last Capital Market Day, it's very much going on the right direction, and we can clearly see that with GrandVision. All the countries in the region delivered positive growth in Q4. If we look at Italy, Spain, Turkey and Eastern Europe, I would probably mention the countries that really shine the most during Q4. In Professional Solutions, the growth was very much driven by the independent channel, while when we look at our different product category on the B2B side, I will probably mention lenses with a successful rollout of Varilux XR, and on the other side, our Sun business that was very much supported by our frame business in Ray-Ban as well as our luxury and premium portfolio in EMEA. So this is the picture on the B2B side. Let's now move to the direct-to-consumer. On the direct-to-consumer side, it was another strong quarter. Both Optical and Sun delivered comp sales at approximately 9%. In the optical retail banners, every quarter in 2023, comps were around 9% to 10%. So very strong delivery in Q4, in particular, we were double-digit in UK, with Vision Express. We were double-digit in Sumirago in Italy, and we were double-digit in Spain with Optical 2000 and MasVision. And I would say that, those results were very much achieved, thanks to a diligent approach on discount and at the same time, a bigger focus on quality and service level. The last part of our journey on the direct-to-consumers is clearly on Sun. The Sun retail banner delivered comps at 9%, which came on top of a very high base in 2022. Last year, we delivered comp sales close to 40%. I will probably mention here Turkey, Italy and Iberia as the top performer in the region, which overall, I would say, shows a very compelling picture for Sun on both the B2B as well as the direct-to-consumer side. Let's move now East, with Asia Pacific and a fourth quarter in Asia that is up 10.3% at constant currency. Every single quarter of 2023 was a double-digit pace for Asia Pacific. India, Japan and Greater China in Q4 posted growth in a double-digit territory, while Korea was in the high single-digit territory. If we look at Stellest, we sold more than 1.5 million pair of lenses in the full year 2023 with a triple-digit growth versus 2022. In addition, our product innovation, it's bringing to the market new product even in Q4. During the last quarter of 2023, we introduced in China, Varilux XR. We introduced the new myopia lenses Kodak with the DOT technologies. And last but not least, we introduced two new engine machines, the ES700 and the ES800. In the direct-to-consumer side of Asia, our retail brick and mortar posted comps in mid-single-digit territory with solid double digit in Mainland China, in Hong Kong, while in OPSM, we experienced a low single-digit comps, very much driven by low volume on doctor appointments. Now, the last region in the pipeline is Latin America. It's a double-digit quarter for Latin America, which I remind you, comes on a material acceleration compared to the third quarter, where we recorded top line up 6.2%. In Q4, our top line was up 12.7%. This represented 12th consecutive quarter in the LatAm region of positive growth at constant currency. Now, if you remember where we commented the third quarter in Latin America, we had a deceleration in our trend. And we pointed out to Brazil as the main driver of that deceleration. But we felt in a way kind of confident that during the last quarter of the year, the trajectory in Brazil was going to recover that gap. And here we are in Brazil Q4 our top line was up double digit, with both channel that grew nicely close to the double-digit territory. Oticas Carol in Brazil grew at double-digit pace, thanks to our successful rollout. We revisited the overall franchising program in MSA that we got very encouraging results in Oticas Carol. If we touch for a second now our direct-to-consumer side of our business, Optical business posted double-digit comps, very much driven by the GrandVision banner in the region in particular the one in Mexico, Indiandes, as well as the one in Nicaragua, but on the Sun retail part, our top line grew on the low single-digit comps for the Hispanic LatAm and a double-digit pace on Brazil. But now, we completed our journey across the four different regions. Let's now move to the profit and loss. Our 2023 profit and loss results were clearly impacted by the headwinds of currency. I would say especially during the second half of the year. In order to appreciate better our underlying results, I will focus my commentary now more on the constant exchange results. I will skip top line, because we talked till now about top line performance and focus more on our main line items of the P&L. Our gross margin was marginally dilutive during the course of 2023. We're looking at about 20 basis points of margin dilution constant currency. Here we have on one side the favorable impact from price mix. And on the other side, we have the headwinds very much coming from the higher insurance claim cost, the impact of some strategic investments in the operations and last, but not least, the labor inflation that we experienced on the cost of goods sold. If we look at now a little bit down on the P&L our operating expenses, we experienced approximately 30 basis point decrease in our operating expenses. And this is very much a consequence of a sound control of our cost base, which at the same time, allowed us to invest in some strategic initiatives, like for example the new licenses and the investments related to the new licenses that we recently announced. Those licenses do require additional sales force and we are now ready to host the new licenses coming on board. All in all, our operating profit expanded 10 basis points on a full year, while on a current exchange basis we are looking at 40 basis point dilution on our operating profit. If we go down now to the net profit, our margin were 20 basis points accretive at constant currency, thanks to a lower tax rate, that largely offset our financial cost that increased very much in relation to the lease accounting. Now, before updating you on the financials, I want to give you a little bit more visibility on another angle to look at our operating profit. Explaining you a bit more in detail, how it did evolve between 2022 and 2023. So our overall profit as a percentage of revenue declined 30 basis points versus 2022 level. First of all, what you see on this slide is the key building blocks that explain you our profitability evolution during the year. On one side, we have the inflation impact which accounted for about 200 basis points during the course of 2023. And that was largely driven by the increase in labor cost. On the other side, we managed well price mix on lenses and frames. We realized a strong delivery of synergies in GrandVision and we also were able to exploit operational efficiency and operating leverage that more than offset the impact of inflation and accounted for about 270 basis points on a full year 2023. Another important chapter here relates to what we call the strategic investments. And those strategic investments clearly have an important area for us and I will mention two, three investments here. On one side Ray-Ban Meta, the launch of new license agreements, the investment in manufacturing capacity in Thailand, Mexico and France and last but not least, the digital investment in HELIX, the new business units that will provide digital service to our independent ECP. And obviously, all those initiatives that are not providing a short-term return accounts for about 50 basis points dilution in our results in 2023. The last chapter clearly is currency. From a currency, we are experiencing approximately 40 basis point dilution in the course of 2023. So this is the overall picture of operating profit progression in 2023. But now let me just have a last touch on our – on the chapter, which I believe we are all particularly proud of. And that is the free cash flow generation and our net debt position. In 2023, I believe the balance sheet of EssilorLuxottica has been stronger than ever. Our free cash flow generation was at €2.4 billion for the full year, €140 million higher than what we recorded in 2022. Our net debt was reduced in a single year by €1.2 billion and its ratio with the EBITDA is at 1.5. Last but not least, our cost of debt is just above 1% on a gross basis, which I would say it's pretty remarkable considering the current interest rate environment. So with that nice picture on our free cash flow and net debt position, let me pass it over to the operator for the Q&A session. Thank you.
Operator: Ladies and gentlemen, we will now start the Q&A question [Operator Instructions] Our first question came from Oriana Cardani, Intesa Sanpaolo.
Oriana Cardani: Hi. Can you hear me? Yes, thank you. Good evening and thank you for taking my questions. The first one is on current trade. So can you give us an update on the trend that you see year-to-date with some details on what's happening in each region? And the second question is about margin. What are the headwinds that you see on margins in 2024? And do you expect operative leverage to return to drive margin expansion this year in case of organic growth higher than 3%? Thanks very much.
Stefano Grassi: Good evening, Oriana. Let me take your two questions here. Current trading, I think we're starting the year with the same pace on how we close 2024. So we're pretty happy with the way we started 2024. That's the overall picture. I won't go into too many details because it's just a single month and we have 11 more to come. With respect to the margins and the headwinds in 2024, clearly we come from two years 2022, where we had a quite material margin expansion. And that is obviously something that we're pretty happy about it. Now when we look at 2023 at constant currency, will have a lower margin expansion trajectory. Now what you can expect from EssilorLuxottica in 2024 is a more material margin expansion than what we had in 2023. And obviously, that margin expansion will encompass some of the drivers that we commented in 2023 results.
Operator: The next question comes from Ben Rada Martin, Goldman Sachs.
Ben Rada Martin: Hi. Thank you very much for the questions today. I have three, if that's okay. My first one is on the Professional Solutions segment in North America. You called out frames I guess being a little bit stronger and driving improvement in the fourth quarter. I'm interested if you can break down that performance, whether it's more of an industry improvement or whether you think you can attribute it more to share gains? The second one is just on pricing. I guess following some of the FX headwinds that hit your bottom line during this year, do you think price list increases could become a bit more of an offset as we think about FY 2024? And then the final one just on your FY 2026 margin – sorry, margin targets. Can you talk about the phasing as we think about FY 2026 and your improvement towards those levels? And whether there is any kind of key cost buckets that you expect to drive operating leverage on?
Francesco Milleri: Good evening. First question, I believe that we are trying to follow the expansion of the industry. We never stressed the market. We try to maintain our market share and helping all the players to do better year after year. So I believe that is a combination of more than one thing. We are growing because industry is growing, but industry growing, because we have this task in mind. That is what is our interpretation. And this work not just for North America, but it works almost in all countries where we operate. And we leverage that from frame to retail, to solutions that are open and distributed to all competitors and partners in the industry.
Ben Rada Martin: Thank you.
Stefano Grassi: I'll take the rest of the two other questions, Ben. Good afternoon, good evening. So with respect to pricing, what I can tell you is that in 2024, you can expect to see still a strong price mix in our growth profile. And I believe we will have both levers price and mix to pull out throughout this year. The third question that we passed it over, even though we said two, but let's make it three now. It's related to the 2026 journey. Again, the first thing that I believe is important just to say that the trajectory to get to the 2026 target is not going to be linear. I believe you're going to see improvement in our operating efficiencies, because we have a lot of projects that we're going after. I believe the inflationary headwinds that we've seen during 2023 pretty strong will progress with fade out already in 2024. And obviously price mix will continue to be strong. One more thing that I probably need to mention is that the synergies. The synergies coming from GrandVision will be an important part an important building block also in 2024.
Operator: Our next question comes from Luca Solca, Bernstein.
Luca Solca: Yes. Hello. Thank you very much indeed for taking my questions. I would like to understand a bit better how innovation is playing out in the business. If I understand your presentation correctly, there's a huge effort that you're putting in place to get your products ahead. Examples of this would be Nuance, the breakthrough hearing aid solution that you're bringing to the market, but Stellest as well as of course, effort to make with brands both owned and licensed. If you were to break down your revenue, which portion would you say is very differentiated and has no comparison in the market? And therefore, I would imagine has the highest pricing power, which portion has the lowest differentiation that is more commoditized and which portion is more or less in between these two? And how this mix could evolve going forward, as you're making more and more efforts to differentiate your products in the market? Maybe just a second question to clarify, and to see if I understand correctly the development of your capacity in Mexico and Thailand, maybe talking about this least differentiated portion of the business. Is the increase in capacity in lower-cost locations like in China in the past for Luxottica, now in Thailand and in Mexico, what put you in a better position to compete even in the most competitive and most commoditized portion of the business? And is that one of the logic inspiring these investments on top of creating redundancy for your facilities? Thank you very much.
Francesco Milleri: I’ll start. Hi, Luca. Innovation, I believe that the way you look at differentiation and innovation is not exactly our vision. We try to think, so what will happen in 10 maybe 20 years in the market and we start to reshape the industry and to prepare the industry of the changes that we will see in the future. Digital electronics and stuff like that they will be very common in all optical store in a few years. And our innovation is more toward this direction that not make us more competitive or different from our partners or competitors. Say that, we are much more focused on brands. As you can see on frames or lenses on the digital platform, we try to really approach final customer with the communication and communication to final customer to be supported by brands. It cannot just a technical communication. At the same way, we don't believe that there is something high end that's something low end in the market. We deliver all our products with a right ratio between cost and performance. We are pushing a lot in the direction of digital on the extra capability or super powers embedded in the frame and that is the way we approach the future. But all this capability, it will not just use by us, but it will be available to everybody. Also the nuance that is something really will be disruptive, but disruptive for the market in a positive way. It will help all the actual player in the audio market to improve sales, to better serve customers and to really close the gap between the demand and the technical capability that they can deliver now. So if I have -- how the mix will evolve, I believe that our mix will evolve towards better product with much more technology embedded. We are leveraging our R&D in -- always in the better way. That means also we started to invest much more than in the past. And that is what we ask to our company to be able to really cover the cost of this innovation that we are really bringing to the old market. It's a part of the mission. It's a part of the commitment that we took and in the other side there is also the cost that we have to support for that. But our vision is that in a short-term where we combine better product and also higher marginality for us and better return for our investment.
Paul du Saillant: Regarding Luca your question on capacity, I think the right way to look at this investment that we have done first in Thailand and in Mexico is to complement our existing frame manufacturing infrastructure that was very centered around China, Italy, South America and one site in California, in South California with two state-of-the-art plant in Thailand and in Tijuana. So these are the two this is to support capacity need and add more resilience in front of the different geographies. It is also -- they tend to bring under one roof in those facilities not only the frame, but the full distribution center and the lens. And we have in this site put also a lab within those sites to do complete pair, Thailand to serve Asia and Europe, Mexico to support the growth in North America. So, it is not at all to have -- to be attacking lower differentiated product. It's to have close to the market, where we grew Asia, Europe and North America. Some very modern facility, to support the growth and also to have good efficiency that we can gain from those large-scale facility, where you have this complete pair model that is at work. We have one more site in Mexico, in Chihuahua. This is for the high indices lenses, also to support growth. And actually those high indices products are really a value product in the lens. The lab in France, is completely different. It's the idea that you know all very well, to have at the heart of each country, very efficient service center to do the full job for prescription eyewear. That's the summary.
Operator: The next question comes from Cedric Lecasble, Stifel.
Q – Cedric Lecasble: Thank you very much for taking my questions. Actually, I don't have three. I don't have two. I have one. With focusing on the moving parts of profitability, you said Stefano said, inflation -- cost inflation had a negative 200 basis point impact last year. Could you maybe help us? You said it, would phase out. Do you think it would phase out, materially? What do you have in your budget to make you confident that you'll have a stronger margin? And actually the two other moving points -- moving parts of GrandVision and the new project for GrandVision, how long can GrandVision deliver strong synergies? Is it 2023, 2024, and phasing out in 2025, 2026? And for the new project, should we expect stronger investments? How much did it weigh, if you can help us with that in 2023? And how much could it weigh in the future? Or could you help us understand, if it will weigh more in 2024 and 2023? And how long it will weigh materially? Thank you very much.
Stefano Grassi: Good evening, Cedric. Let me take one question, with three sub questions, I guess. So let's try with inflation part. So yes, you said it right, you understood it right. We do have an expectation that inflation will progressively fade out in 2024. And the second part of your question is GrandVision. Well, GrandVision impact has been material in 2023. And will be material in our 2024, expectation. I think there is a journey of integration that we're still undertaking, with respect to our assortment, lenses and frame, major steps and progress have been made in the course of 2023, but it's still a way to go in 2024. We closed out as you might remember, the headquarter of GrandVision very much at the second part of 2023. So the benefit of that will obviously, stay with us at least for a major portion of 2024. Plus, we're doing some integration also in the different subs of GrandVision. The new project, what I would like to call is, more strategic investments. Yes, there would be a strategic investment component, that will commence in 2024. So the 50 basis points that you've seen in 2023, will likely be bigger than what you've seen in 2023. So 2024, would be bigger. I think some of the major projects, will come to light like Nuance, for example, during the second half of this year, like the ramp-up of the new licenses that we recently announced. And obviously, also the impact of those new investments in the operation that Paul, well described before. But again, we do expect a strong price mix. And again, both lever price and mix will come into play in 2024. And as I mentioned before, we expect a more material margin expansion in 2024, than what you've seen in 2023.
Operator: The next question comes from Domenico Ghilotti, Equita.
Domenico Ghilotti : Good afternoon. And just one question, and this is more related to the geographical contribution in the sense that we have seen a very strong in particular on D2C, a very strong European market on top of the strong 2022 and some reacceleration at the end of 2023 in North America. So if you can share with us your view on 2024 in terms of D2C contribution or trends?
Stefano Grassi : Buonasera, Domenico, good evening. So, when we look at our 2023 results, I should say, EMEA was a very pleasant surprise. I mean, it's not a given in a year, where you're integrating recently acquired assets like GrandVision that we got such a strong result. It's not a given that at the same time on our B2B channel, we had a very strong delivery in the EMEA region on frames, a very strong delivery on the lens business. So I think the team in the region did an excellent job. Now it's -- we do have an expectation that EMEA will be strong in 2024 as well. The work that we're doing on the direct-to-consumer side to elevate the optical retail experience in Europe, it's working well. And therefore, no reason to believe that 2024 should be a different year. Clearly, we keep growing on a higher and higher base. And EMEA has been used to deliver strong results. With respect to North America, I think, North America, it's obviously an important part of our business, and I believe will be also an important part of our growth profile. So stay tuned. And obviously, we'll keep you updated already in the first quarter results in a few months from now.
Operator: The next question comes from Veronika Dubajova, Citi.
Veronika Dubajova : Hello, Francesco, Paul. Stefano, and Giorgio. Thank you for taking my question. I have two please. My first one is on the midterm revenue guidance. You are now for a third year in a row delivering growth very much in excess of that mid single-digit target that you have expressed. And just kind of curious on your thoughts why not raising that midterm margin is there a signal you're trying to send about 2024, 2025, or 2026? Is this just a bit of prudence from your side? Would love to get your thoughts on that. And then maybe just related to that as section or sub-question. Can you give us an update on when you expect Stellest approval in the U.S. and SightGlass approval in the U.S.? My second question is just on the mid-term margin target. Stefano, it would be really helpful if you could do a mark-to-market for us on FX and what does the 19% to 20% look like with the spot rates that you see at the moment? And thank you for all your helpful commentary about the sort of phasing, I guess, if I just fast forward to 2026 on my math you have to do about 200 basis points of margin improvement over three years. If you divided it by three that would leave you at about 70 per annum, should we think of 2024 as being below that and 2025 and 2026 above that? Is that what you're trying to say? I'll let you answer that. Thank you, guys so much.
Stefano Grassi: Good evening, Veronika. I'll take the first and the third question regarding to -- with respect to financial and then I'll leave Paul to comment with the Stellest story. So our midterm guidance is still valid. Clearly, we are pleased to see the last couple of years since we issued a guidance to run at a faster pace than top-line. But I believe it's good for us to keep that guidance even though you can appreciate the team doing everything that we can to exceed it. But again I think there's a guidance there for top-line. There is a guidance there for profitability. And in terms of profitability we are fully committed to land anywhere between 19% to 20% operating profit by 2026 on an adjusted basis. Now the latter part of your question relates to FX. And when you look at Veronika our results in 2024 and when I talk about more material margin expansion I mean that at constant effect. So regardless of currency fluctuation we do have that expectation of material margin expansion in 2024 at constant currency. Clearly there would be further expansion in margin going forward in order for us to land in the 19% to 20% margin rate constant currency by 2026. Paul, do you want to comment on the second question?
Paul du Saillant: Absolutely. So myopia. So we already -- you already heard some comment on myopia from Stefano, from myself. Stellest is continuing to have great success in China. The whole myopia initiative in China is now representing growth of 15% of our total activity in China. We have launched in China also the SGV technology, which is just starting. Stellest is being deployed in Europe with a very good acceptance in France, in UK, progressively in the key countries in Europe. And so US is really the next market to open. You remember that we obtained Stellest the breakthrough device status from the FDA. This is already dating from 2021 and it's a very important status. And we just -- we were granted for now SGV the same status in the beginning of this year. And we think that through this accelerated approval process which sort of put on the top of the pile the dossier, we should buy second half to 2025 obtain those approval from the FDA. So this is a kind of time horizon for both Stellest and SGV that we are looking at now. But this is really a breakthrough that -- to obtain those status for the two technology that we have been preparing to introduce for the US is really a very promising signal.
Giorgio Iannella: Our final question comes from Piral Dadhania, RBC.
Piral Dadhania: Okay. Thank you for squeezing me in. Good evening. My first question is just on LensCrafters. Nice acceleration in Q4 to mid single-digit like-for-like. I think it was low single digit in Q3. If you just help us elaborate on what's driving the strong performance here and perhaps an update on the progress of the store refurbishment program? That was my first question. And then my second question is just on the margin for 2024. I know, Stefano, you've mentioned a few times, you expect material margin expansion across some currency terms. Could you just help quantify whether you believe that consensus expectations of something like 80 basis points this year in reported terms is achievable or not? And going back to the previous question on FX, what you expect at this point in the year the FX impact to be at the EBIT level? Thank you.
Francesco Milleri: Good evening, Piral. LensCrafters is like a statement in US, and we try really through refurbishment or new store really set the tone of the market and give guidance to all the other operators as we believe it will become a store performance and store experience in the next future. So I believe that the acceleration is a combination of many factors. Of course, the store experience is one of that. Digitalization has much after all the tools that we have now in store with the communication in a digital way that accelerate the capability to present our product. At the same time, we really approach the doctor room and the doctor program and the doctor facilities in a new different way, putting our focus on the service, also on the measurement and all the healthcare product-related services.
Stefano Grassi: And I take the latter part of your question. Good evening, Piral. Margins, I don't comment the consensus. But again, I go back to what I just said before, referring in 2024 and echoing the fact that, again, we do expect a more material margin expansion than what we have seen in 2023. But also, since I talked about it before, I want to reemphasize our guidance to 2026 lending with two words commitment and confidence, because those are the things that two words that better describe the atmosphere and the senses of where we think we're going to be by 2026.
Francesco Milleri: So with this answer, we close this session. We thanks everybody to be with us, to be so close and following us. We also tell to everybody and happy some Valentine, a Valentine Night and see you next time, I believe, in a different way, because it will be another new Board. And I propose that this journey will continue. Thank you very much.